Operator: Good day and thank you for standing by. Welcome to the Outset Medical First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today Jim Mazzola Head of Investor Relations. Please go ahead.
Jim Mazzola: Okay. Thanks Victor. Good afternoon everyone and welcome to our first quarter 2025 earnings call. Here with me today are Leslie Trigg, Chair and Chief Executive Officer; and Nabeel Ahmed, Chief Financial Officer. We issued a news release after the close of market today which can be found on the Investor pages of outsetmedical.com. And this call is being recorded and will be archived on the Investors' section of our website. It's our intent that all forward-looking statements made during today's call will be protected under the Private Securities Litigation Reform Act of 1995. These statements relate to expectations or predictions of future events are based on our current estimates and various assumptions and involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied. Outset assumes no obligation to update these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the risk factors section of Outset's public filings with the SEC including our latest annual and quarterly reports. And with that, I'll turn the call over to Leslie.
Leslie Trigg: Thanks Jim. Good afternoon everyone and thank you for joining us. Outset's results in the first quarter reflect the strong progress we've made with our commercial transformation the durable competitive advantage of Tablo in both the acute and home settings, and the meaningful impact our operational execution is having on our path to profitability. Console sales grew meaningfully over last quarter, utilization remains strong, and we demonstrated continued operating leverage. Starting at the top. Revenue for the first quarter of $29.8 million, reflected 6% growth from the first quarter of last year. We were very pleased with the composition of revenue, which included 23% sequential growth in console revenue, which is a key metric for us this year as we look to sustainably reignite console growth. We continue to see strong utilization across the Tablo installed base, which resulted in another strong quarter of recurring revenue. Recurring revenue of $22.7 million grew 20% over the first quarter of last year. Once Tablo consoles are placed they're used. And this utilization frequency keeps us right on track to exit the fourth quarter on a run rate of more than $100 million annually in recurring revenue alone. I mentioned last quarter that it took Outset 4.8 years to reach 1 million cumulative treatments and then an incremental 17 months to reach 2 million cumulative treatments. This quarter we shipped our 3 millionth treatment and it took us not another 17 months, but just over 12 months to get there. We also continue to be pleased with the progress we are making with non-GAAP gross margin, which at 37.6%, continued to expand year-over-year as we sold more treatments and service across a larger installed base. Normalizing for the lower absorption of manufacturing overhead which we've previously discussed we would have seen non-GAAP gross margin of approximately 40% for the quarter right on our path to the next milestone of 50%. Turning to our end markets. Our results in the quarter were again driven by continued penetration within acute care providers who have made the decision to reduce costs and improve patient care by insourcing their dialysis service line. The clinical, financial, and operational advantages Tablo can deliver continue to resonate with the full range of acute providers from community and critical access hospitals to regional IDNs and national health systems. For example, one large regional IDN customer deployed their 100th Tablo during the quarter as part of a system-wide insourcing implementation and continues to expand Tablo's use across multiple facilities in several states. At one of the largest health systems in the U.S., we recently expanded our footprint from insourcing dialysis in the acute setting to standing up a new dialysis service line at one of their skilled nursing facilities. We're early in this rollout but excited by the acute to subacute expansion potential within this and other large health systems that are using Tablo inpatient and beginning to evaluate it for use at the subacute facilities in their network. Reflecting on the quarter, we were very pleased to observe continued progress with our sales transformation across both process and people. Our pipeline grew substantially again in the quarter, reflecting contributions from our enhanced capital sales team and sales process and growing market recognition of Tablo's right to win. Our team is becoming increasingly proficient at educating stakeholders at all levels of an enterprise about the benefits Tablo can deliver not only financially, but also clinically and operationally, and our forecast accuracy has improved. During the quarter, we added new customers adopting Tablo for the first time and also saw existing customers buy more Tablo to expand their use to new locations. As we look ahead to the rest of the year in the acute end market, we remain confident in our pipeline and see evidence of continued strong market demand powered by increased Tablo brand awareness and the consistency of the results our technology and our team produces. In-sourcing with Tablo saves hospitals money. It has a relatively low acquisition cost and a short payback period. Clinically, a growing number of acute care customers are sharing reductions in hospital-acquired infections, lower length of ICU stays and higher nurse satisfaction rates post in-sourcing with Tablo. While federal funding cuts have made the health care environment more dynamic since we provided guidance in February, customers are conveying to us that the financial and clinical case for in-sourcing with Tablo remains compelling as they prioritize their capital expenditures for 2025. This customer feedback fuels our confidence in Outset's plans for the rest of the year, a plan that remains unchanged and on track. Turning now to the home end market. We expanded Tablo's use among midsized dialysis providers and successfully contracted with one of the last remaining MDOs that hadn't yet adopted Tablo. Patient demand continues to play a key role in Tablo's home adoption. And to that end, we again drove industry-leading retention rates above 90% at 90 days. As we've said, change in the home setting will take a bit longer than the ramp we're seeing in the acute setting, but we continue to make steady progress and remain driven by the stories from people who tell us their lives have been changed for the better by having access to Tablo at home or in a post-acute setting. From an operational perspective, the actions we have already taken to remove approximately $80 million of annualized spend delivered leverage in the quarter with our lowest non-GAAP operating loss since our IPO. I want to reiterate that we are aggressively executing against a clear path to profitability that starts with top line growth, includes gross margin expansion, is reinforced through our disciplined spend management and shows up in the significant reduction in cash use we project for 2025 and the leverage we see to the bottom line. Also related to our operational progress, we were pleased with the vote results from our special meeting of stockholders held on March 5, which enabled us to complete the recapitalization of the company that we announced in January. On April 11, we filed our proxy statement for the Annual Meeting of Stockholders scheduled for June 2. In this proxy, we are asking shareholders to approve a onetime increase in our stock pool for employee grants as well as a share pool increase under our employee stock purchase plan. Both of these important programs are necessary to help us ensure we keep our team's interest tightly aligned with investors' interest and to continue to attract and retain top talent at Outset as we reignite growth and build for the long term. One final operational note, we spoke on last quarter's call about a special tariff exemption Outset received in January for medical devices that serve a chronically disabled population. With some of the new tariffs now in place, we can confirm that Tablo, TabloCart and Tablo consumables remain exempt under this special protocol. Additionally, we continue to have a tariff exemption under the USMCA and further contingencies such that we continue to expect no impact from proposed or implemented tariffs at this time. We remain very bullish on the competitive advantages Tablo and its established ecosystem offer customers in the acute and home settings. We've demonstrated time and again that once Tablo is deployed, it's used consistently, and this consistent use drives strong, growing and predictable recurring revenue. We have demonstrated that Tablo delivers compelling clinical, financial and operational benefits to providers in the acute, subacute and home settings. Moreover the competitive moat around Tablo continues to deepen. Our growing installed base is extending our reach across the country. Our proprietary data analytics ecosystem powered by Tablo's integration with Epic and Cerner and the 3 million data points sent to the cloud after every treatment, every Tablo, every day uniquely enables us to deliver value-added clinical and operational insights and efficiencies to our customers. Our proprietary know-how around insourcing allows us to partner with hospitals as a solution not just a product. Our exceptional at-scale field service team drives a customer satisfaction score consistently above 95% and our portfolio of referenceable customers continues to grow helping to drive market adoption. With the Tablo installed base performing more than one million treatments annually and growing we estimate that there is still $0.5 billion in recurring revenue yet to be realized from the current installed base alone. I'll close by reiterating our optimism for the year ahead. We entered the year with extraordinary clarity on the vital few priorities for Outset. Our team is determined to deliver on three priorities in 2025. Number one, grow console revenue. Utilization is strong on the consoles we place creating an even more valuable recurring revenue stream as we expand the installed base and gain scale in what remain two of the largest market opportunities in health care. Second, increased gross margin. This is in a bright spot for Outset and we've increased gross margin by nearly 30 percentage points since our first year following the IPO. With product margin nearing 50%, service gross margin increasing the scale and continued efficiencies in our plan we see a clear path to 50% and beyond. Third, driving to profitability. Our non-GAAP operating loss this quarter was the lowest it's ever been as a public company and our plan calls for it to significantly narrow in 2025 putting us in a strong position to reach cash flow breakeven and profitability within a near-term planning horizon. We fully understand the importance of consistent execution during this pivotal year and intend to remain heads down and focused on doing the work. Accordingly, we don't want to get ahead of ourselves with just one quarter down in the year and intend to maintain our conservative approach to guidance. That said, we are confident about our outlook and believe we are set up very well for the remaining three quarters of the year. Providers including the largest health systems in the country are seeing the enormous clinical financial and operational advantages that insourcing with Tablo can deliver. The market opportunity remains wide open for us and we continue to gain ground, adding new healthcare facilities to our growing customer base and driving treatment expansion. I want to close by thanking our entire team for their commitment to the patients we serve in addition to their commitment to driving growth, managing spend and reaching our shared goal of profitability. And with that I will turn it over to Nabeel.
Nabeel Ahmed: Thanks, Leslie. Hello everyone. Revenue for the first quarter of $29.8 million, grew 6% over the first quarter of 2024 due to higher recurring revenue across a larger installed base. Product revenue of $21.3 million, consisting of console revenue of $7.1 million and consumable revenue of $14.2 million grew 4% from $20.4 million in the prior year. Importantly, console revenue grew 23% sequentially. Service and other revenue of $8.5 million grew 9% from $7.7 million in the prior year period. Recurring revenue from the sale of Tablo treatments and service was $22.7 million an increase of 20% over the first quarter of 2024. Now moving to gross margin and operating expenses, which as a reminder reflects our non-GAAP results. Please refer to the reconciliation of GAAP to non-GAAP measures which can be found in today's earnings release. Gross margin of 37.6% for the first quarter continued its nearly five-year upward progression increasing 650 basis points from 31.1% in the prior year period. This growth was underpinned by progress in both product and service and other gross margin. Product gross margin increased 860 basis points year-over-year to 48.4%. Service and other gross margin was 10.3% increasing 230 basis points from 8% in the prior year period. As I mentioned last quarter when we provided guidance for the year, gross margin is adversely affected in the short term due to lower absorption of manufacturing overhead as a result of our reduced console build plan and efforts to reduce inventory levels. Absent, the impact of under absorption of manufacturing overhead, which dampened gross margin by approximately 230 basis points in the quarter, we would have seen non-GAAP gross margin right around 40% and product gross margin above 50% for the first time. Operating expenses of $24.6 million declined by 30% from the prior year period, driven by our ongoing focus on expense management. Non-GAAP operating loss was $13.4 million, 49% below our operating loss in the prior year period and at the lowest level since our IPO. Net loss was $22.8 million or $3.24 per share, 22% lower than the first quarter of 2024. These measures reflect the positive results of our drive to profitability. Moving to our balance sheet. We ended the quarter with $192.3 million in cash, cash equivalents, short-term investments and restricted cash. Based on our current projections, we continue to believe this level of cash gets us through cash flow breakeven. Turning to our guidance for 2025, which we initially provided on the February call. With one positive quarter down, we continue to expect revenue for the full year to be between $115 million to $125 million. Our intent here is to remain conservative as we work through this year of execution. As a reminder, the midpoint of this range implies the installed base and recurring revenue both grow by roughly 10%. Moving down the income statement. We continue to expect gross margin for the full year in the high 30% range. As we discussed on last quarter's call, the rate of expansion will be affected as we burn down our inventory levels and under-absorb manufacturing overhead. Excluding the impact of under absorption, we would anticipate company gross margin exiting the year above 40% in the fourth quarter of 2025. We plan to continue to quantify this impact to non-GAAP gross margin each quarter to help you model the trajectory. Although gross margin may fluctuate on a quarter-to-quarter basis as a result of our product mix, we remain right on track to meet our next gross margin milestone of 50%. Again, fundamental gross margin expansion is driven by recurring revenue from a larger installed base, service leverage and our console cost-down programs. We continue to anticipate OpEx in 2025 of roughly $90 million. The combination of expected revenue growth, continued gross margin expansion and ongoing OpEx and working capital discipline means that we expect to use under $50 million in cash in 2025, which is less than half the $103 million we used in 2024. To close, we demonstrated in the first quarter how the strong elements of our strategy work together to deliver lasting value for providers, patients and shareholders. The differentiated value proposition of Tablo, our recurring revenue business model, expanding gross margin and disciplined expense management, all contributed to a strong quarter. With that, I think we're ready for Q&A. Operator, please open the lines.
Operator: [Operator Instructions] Our first question will come from the line of Marie Thibault from BTIG. Your line is open.
Marie Thibault: Hi, good afternoon. Thanks for taking the questions and congrats to the team on a very nice quarter here. Would love to get a little more detail on the turnaround in the console selling process. I think in the past, Leslie, you've talked about the new sales force reaching tenure here in the first half of this year. So I'd love to understand, if you think all of the potential disruption to the commercial team is sort of behind us at this point. And then any more details on kind of the increase in the console installed base? Was the console revenue beat, was that largely volume? Or was pricing ASPs a significant help too?
Leslie Trigg: Hi Marie, thanks for the question and thanks for the acknowledgment. On the -- maybe I'll tackle sales transformation first and then kick it over to Nabeel on your volume versus ASP question on the console growth. On the sales transformation, I mean first and foremost I'll say that the team here has made a remarkable amount of progress in a relatively short period of time. And second, I'll say that, it's really paying off. Our commercial org looks different, feels different, operates very differently today as a result. And yes, you stated it correctly, the tenure within our team continues to grow. We cited that on our last earnings call as a tailwind for 2025. And that's helped. That has helped. I think as a result, we saw consistent performance in Q1 across the country and also pretty consistent and significant contributions to pipeline growth across the country as well, which was really great to see. In addition to the sales team changes and improvements, I'd also cite a number of different new proprietary sales tools that we're using. Of course, our new sales process, kind of, the depth and breadth and inspection-centric approach we're taking to forecast accuracy as I just said did contribute to improvements in forecast accuracy and also a lot more visibility into how deals are progressing through the sales process. I think the last part of your question was about are we on track? Or when do we think this will be kind of firmly behind us? In the past, we've communicated our expectation or my expectation at least that this transformation will be fully complete in the first half of 2025. And based on what we're seeing that projection is very much intact. I mean, obviously, it'll be really important to continue to see additional quarters of similarly positive execution. But from where we sit today, all indicators are green. And maybe I'll just make one other comment and turn it over to Nabeel on the console question. But in terms of the indicators what we continue to watch, first and foremost is customer demand. And customer demand remains strong. I think in -- for a couple of reasons. One, our existing customers really are seeing the benefits and the payback of insourcing with Tablo and actually an increasing way sharing that with others. We are seeing some momentum drivers as a greater and greater number of facilities adopt Tablo. It's many, many hundreds of health care facilities across the country. And those results in a cumulative fashion are really starting to bubble up. Two, I mentioned increased Tablo brand awareness. So we're finding that when we enter into new conversations with potential new customers, they actually already know what Tablo is. They know who Outset is. And that's actually a little different for us in a positive way compared to past years. We're also continuing to closely monitor not only the pipeline of opportunities, of course, the overall size and the quality but also the mix. And we are seeing a really a cool mix of new, I would call it marquee brand-named health systems, as well as existing customers that are looking to further expand on the basis of the results that they've seen with Tablo. And lastly, we are continuing to monitor where are these deals in the sales process and are they progressing? As we look at our top forecasted deals for 2025, the majority of them are already in the last couple of stages of our sales process, which again gives us a lot of confidence as we look forward. Comments on console?
Nabeel Ahmed: Yeah. Marie it's Nabeel. With respect to console, the sequential improvement came largely from volume. Now in terms of ASP, we're still pleased with ASP in the quarter. Our team does a great job, has done a great job on pricing discipline. We haven't historically discounted a lot of it in the quarter and that continues to be the case in the first quarter. And obviously mix is important for us. And ASP on acute as you know is higher because those frequently shipped with PRO+ and Cart. But again really pleased with ASP and thanks to the team on both ASP and strong volumes.
Marie Thibault: All right. Very encouraging all of that. Thank you for the detail. I guess, I'd like to understand a little bit more about the selling process as you move into the subacute space. What are some of the, I guess, proof points or evidence that they look for? Is it very similar to selling into acute? How would you characterize both the process what they look for and maybe some of the time lines that are required for decision-making? Thanks for taking the question.
Leslie Trigg: Yeah, of course, that's a great question. The headline is very, very similar to acute and that has allowed us to drive a lot of sales force productivity. It's also very similar on the back end. It's one sales team. It's one clinical support team. It's one field service team. And so I think that's really important to note. But to get a little bit more specific for you in the ways in which it is similar the sales process, first and foremost most of these post-acute/subacute facilities have traditionally been outsourcing their dialysis to a third-party provider. So that's similar in the acute, which leads to the second similarity the value proposition is the same. They are looking for number one cost reduction; and number two improved clinical care. Those subacute facilities in the past also have struggled and been frustrated by the heavy, heavy cost of outsourcing it and experiences where their patients oftentimes had to wait many times for hours and hours for a third-party provider nurse to show up on site and be able to deliver the treatment that they want their patients to be able to receive immediately when that care is needed. And that's exactly what insourcing and sort of taking control of their own destiny through Tablo enables them to accomplish. In terms of the sales process cycle time, I would say also, pretty similar to acute. Of course, it depends on the size of the deployment. We have been very successful so far with LTACs and rehabs, who have gone for enterprise-level standardization of Tablo and insourcing across their networks. And so that's also been a real bright spot for us and has tracked similarly to the way that these larger acute regional and national health systems are thinking about standardizing with Tablo insourcing across their enterprise in the same fashion.
Marie Thibault: Thank you so much.
Leslie Trigg: Yes.
Operator: Thank you. And one moment for our next question. Our next question will come from the line of Josh Jennings from TD Cowen. Your line is open.
Josh Jennings: Hi. Good afternoon. Nice start to the year. I was hoping -- I think you answered this question mostly Leslie but just thinking about the risk of macro headwinds that hospitals may be facing in the coming quarters and who knows how long. Previously when hospitals were under pressure coming out of the pandemic, the clinical and economic value proposition of Tablo in the acute setting for in-hospital kind of rose to the top. And maybe just remind us of the success you had then and how Tablo is the right device at the right time even in kind of a recessionary environment. And do your competition -- the outsourced third-party competition for in-service dialysis lines, I mean their costs, I believe would potentially rise and expenses could be even more dramatically higher for -- if the hospitals continue to outsource. Sorry, a long-winded question. Hope you get the gist but wanted to just touch on that.
Leslie Trigg: I think you said all of that far better than I could. So I'm just going to say ditto. No, I'm kidding. Yes, let me take that maybe piece by piece. So far we have not observed any changes in the hospital capital spending climate period. So I'd say nothing that has affected us to-date. And I say that kind of as we sit here with roughly one month down in Q2 in addition to backward looking into Q1. We, obviously, are all keeping a very close eye on any changes that may affect that, but whether it's Medicaid or tariff impacts on pricing but nothing so far that has affected our results to-date, nothing that affects our outlook moving forward. And one reason for that also is something you just brought up and I'm glad you recognized it is we are advantaged, because Tablo's value proposition is an economic one. We not only save hospitals money but we save hospitals money in a very tangible way. This is not theoretical. This is not you can save 25% of one hour of nursing time maybe three years in the future. I mean this is day one $1 very tangible savings with a short payback period. Most of our customers will report back that they have received a return on capital invested inside of 12 months. We had a couple of customers actually that came in just over the last quarter and talked to our employees here. Both of them talked about beating their internal expectations, their internal ROI expectations by many, many months, whereas they had projected 12 months and maybe they got the return in three or four months. So I think that while hard dollar cost reduction is obviously of evergreen interest to health systems, I think as you point out, particularly in times of uncertainty or conservatism, it does tend to be the projects on the capital spending list that are tangible and near term that rise to the top. We did see that play out in COVID, also to your excellent point. So we have some history here. And yes, I'll hesitate in speculating about how costs may rise for competitors but purely based on logic, if their supplies cost tended to become elevated due to tariffs if their labor costs tend to become elevated that would be -- that probably would show up in elevated pricing for hospitals that are outsourcing whereas outset is in control across the board. We control our supply chain. We noted in our script that we are fully protected as we sit here today from any tariff impact. So we've been able to reassure our customers of our ability to maintain pricing. And we're in control of the patient experience and the customer experience and as a result the financial and the clinical and the operational efficiencies and benefits that we deliver. So I think we are very, very well-positioned no matter what climate we find ourselves in for the remainder of the year.
Josh Jennings: Excellent. And one follow-up. Just wanted to -- with the sales transformation kind of near completion and the strategy bearing fruit, I just wanted to get a handle on just what you're seeing in terms of attrition and it seems like it's very low. And then also just the plans to build on the commercial foundation and the infrastructure here are you planning on adding? And do you feel like the sales force and the multiple layers are kind of where they need to be as you look to achieve your guidance this year and then continue to grow in 2026? Thanks.
Leslie Trigg: Yes, of course. You also provided the -- an accurate answer to your question again which is yes, our attrition in the sales force is very, very low. In fact it was at a record low for us as we moved through Q1. So we're very proud of our team and our culture and our voluntary retention rate is a demonstration of that. That's point one. Point two. I think our sales team for now is exactly rightsized. When we look at the reminder, we have two components of our team. We have the capital sales team and that's bifurcated between regional capital, sales and national accounts. And then we have our clinical sales team. In both of those groups I think we are perfectly sized to do exactly what we need to do and keep the promises that we've made to investors in 2025 and beyond. We also are actually really seeing some nice increases in sales rep productivity and that's across the board. We're seeing significant increases in clinical sales productivity revenue per person as well as nice increases in capital sales revenue per person. And there is plenty of incremental headroom there for us to continue to take advantage of. Where you'll see us make some continued investments and this is not new. You will see us make continued investments in our field service team. I mentioned in our prepared remarks that our field service team continues to receive CSAT customer satisfaction, CSAT scores consistently above 95%. We measure that religiously every single quarter. The sample size on that is typically hundreds of respondents. And so we're very, very proud of the patient and the provider experience that we deliver. And our field service team is a massive part of that. That's the group, that's the team that our customers see on a daily basis. And those are the folks that they know and they lean on and they trust. So we will be making I would call incremental investments as needed as our volume and as our installed base continues to grow through 2025 and into 2026.
Josh Jennings: Okay. Thanks, again.
Leslie Trigg: Yes.
Nabeel Ahmed: Thanks, Josh.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Shagun Singh from RBC. Your line is open.
Shagun Singh: Thank you so much and congratulations on the beat. I was just wondering given the beat, why you didn't decide to adjust the guidance here? Also it has a pretty wide range. So where are you tracking the low end? Or is there greater confidence at the midpoint or the higher end? And then anything you can share on the cadence? Do you still expect to grow sequentially as you move through the year?
Leslie Trigg: Thanks so much for the question and thanks for recognizing the strong start to the year. We felt really good about it. I mean there are three things taking a half step back to go forward here. And there are three things we really, really focused on delivering in the first quarter and the team delivered on all three. And those three were growing console revenue, done; expanding gross margin, done; keeping Outset on track to achieving profitability, done. And as we look ahead toward the rest of the year we intend to stay focused on and deliver on the exact same three priorities which are the promises that we've made to our shareholders. I am very confident that we'll be able to do that. And my confidence comes from number one, the continued growth in the pipeline that we saw in Q1, and the reflection of high demand both from new and existing customers and as I mentioned second, consistent performance from our capital sales team and that was across all territories, all parts of the country which reflects the return we're seeing here from our sales transformation. At the same time -- and I'm just giving you my two cents, and I'll turn it over to Nabeel to get more specific. But high level, the way I think about it is one good quarter is one good quarter, and we've got three more to go. We certainly don't want to get ahead of ourselves here. I don't want us to get ahead of ourselves. And so, while our outlook is positive, our enthusiasm is high, our guidance approach is going to remain conservative. But Nabeel, feel free to chime in.
Nabeel Ahmed: Yes, Shagun. So look, we were really pleased with Q1. And as Leslie said, we are confident in our outlook. But we're one quarter down with three quarters of execution to go. We're simply being conservative here. And from a modeling perspective, we'd recommend you remain conservative as well. Now from a cadence for the rest of the year, we do continue to expect that revenue will build through the year. And again, look, we had planned to be conservative here, I'll say that again, and we will remain so. And we'd recommend again, that you're also conservative as you build your models.
Shagun Singh: Got it. And then, I think on the last call you had indicated that you were maybe not getting as much business or losing some because of some of the balance sheet issues. And I think, you've addressed those. You've also had a reverse stock split. Are you seeing any increased business momentum, as a result of that? And then just lastly, on console installed base growth, anything you're willing to share in terms of numbers or acute versus home? Thank you for taking the questions.
Leslie Trigg: Absolutely. And maybe again, I'll kick it off here, Nabeel and you can chime in on the installed base growth. So Shagun short answer is, yes, I absolutely think it has helped us. It's -- our performance in Q1 was fundamentally driven by the benefits of all the hard work the team has put into, sales team, sales process, new tools and that remains unchanged. But yes, around the margin, is it helpful to remove -- why not? Absolutely. Is it helpful to remove three or four more customer questions or question marks? Absolutely. So, it was great to get that behind us and also great to get some of the regulatory challenges behind us as well. So, as we had noted in February, I felt like the theme of our February call was kind of cleared for takeoff. And I think the theme for Q2, for this call is we're on our way.
Nabeel Ahmed: Shagun with respect to console placements, we disclosed that annually. What I can tell you today is that console revenue went up 23% from Q4. We're pleased with the number of consoles we shipped. And again on treatments, we had another strong quarter here.
Shagun Singh: Thank you.
Operator: Thank you. And I'm not showing any further questions in the queue. I would now like to turn the call back over to Leslie Trigg for any closing remarks. 
Leslie Trigg: Great. Thanks to everyone for joining today. I'd like to close again, by thanking our entire team for the meaningful difference they're making every day in the lives of dialysis patients. Have a great evening, everyone. Thanks, again.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.